Operator: Good day, and welcome to the Gray Television’s Fourth Quarter 2014 Earnings Release Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Hilton Howell, President and Chief Executive Officer. Please go ahead, sir.
Hilton Howell: Thank you so much, operator. Good morning and thank you all for joining us as we discuss our record results for Gray Television in the fourth quarter and for all of 2014. As usual, joining me are Jim Ryan, our Chief Financial Officer; and Kevin Latek, our Senior Vice President for Business Affairs. I hope that all of you have had the time this morning to peruse our 16 page press release issued this morning, as we have enhanced our presentation with the results being presented on both an as-reported basis and a combined historical basis which we hope will give Gray’s achievements added clarity. For 2014, we reported record revenue for both the fourth quarter and for the year. These fantastic numbers were a result of both record results from our preexisting stations and record results from our newly acquired stations. For the first time in our history, our revenue exceeded $0.5 billion and our broadcast cash flow exceeded $200 million. We repaid $70 million in debt in the fourth quarter. We completed 10 acquisitions that added 23 market leading, local news driven television stations to our portfolio. These 23 remarkable institutions fit the Gray culture of local market dominance which we believe is the only way to superior financial performance that is of permanent value. Our stations in our 44 markets really do have loads around them. This local community focused attention to detail allowed our stations to report another all-time record of $82 million in political advertising revenue, which on a total basis is as large, or even larger than many of our peers and many of them who are much larger than we are. Even more importantly, on a per household basis, Gray’s total political revenue is preeminent in the industry. As part of the natural connection between the local substance of our stations and the need of the public servants who serve those markets to reach their voters. It led our company to establish our new Gray Washington DC bureau. This exciting new venture, now fully operational in all 44 of our markets, will have a hyper local focus and an intensely non-partisan lens on issues out of Washington that have a direct impact on our viewers, our advertisers, their businesses and our collective future. Anchored by Jacqueline Policastro, a veteran of both local news and Washington reporting, our DC bureau has already put reports on the air with our local flags on the State of the Union address, the veto of the Keystone pipeline, new EPA regulations that affect the clean coal industry and the impact of the new executive order on immigration and all of its impacts. While these stories are national in scope, they have a deep impact on our local communities in Nebraska, the Virginias and Texas. Coupled with the depth of our local coverage of state politics, our stations will only enhance their position as the must-buy station in every political contest in each of our 44 markets. Gray will be unique as we look forward to 2016, a presidential election year without an incumbent, an almost unlimited window for political advertising spending due to the expansion of election day to an election month or months as each state may decide and the first amendment right of advertisers to reach voters. 2014 also saw Gray complete the broadcasting equivalent of a Hail Mary pass whereby we renewed each and every one of our networks nationwide for long term contracts. While at the same time completing the renegotiation of new retransmission agreements with all of our MVPD partners, allowing Gray to announce firm numbers today on the biggest question many of you have on our industry going forward, and that is how much station groups we’ll retain in the retransmission reverse compensation fight? That question is no longer an issue for Gray Television. 2014 also produced record digital media revenue, with digital revenue hitting a record of $28.2 million. Our proprietary MomsEveryday digital vertical is now fully deployed in each of our 44 markets and we’re now offering it to other non-competitive markets nationwide. And something that we found out at our recent general manager’s meeting that we’re exceptionally proud of, based on a recent study we conducted with SmithGeiger, our local websites in our markets are the number one news sites, outpacing Yahoo and all network news sites and only beaten by Facebook, Google, YouTube and Weather.com. That I think is an amazing confirmed fact for Gray Television, its shareholders and our viewers. With that, I will bring my comments to a close and turn it over to Kevin Latek who will discuss more news that we made this morning. Kevin?
Kevin Latek: Thank you, Hilton. We’re all part of the achievements to milestones that marked 2014 and it allowed us to announce such good news today. This morning I will address a few points quickly before turning this over to Jim Ryan for his remarks. But first, to state the obvious. 2014 was a year marked by significant deal activity for Gray Television. Three of our announced transactions, Hoak, Prime Cities and Lockwood, required complicated restructurings in the first half of the year to respond to changing FCC policies. At the end of the day however, we secured regulatory approvals for these restructured transactions in 120 days or less and we obtained regulatory approvals for the Flint and Toledo acquisitions in less than 40 days. These quick grants allowed us to close on all of our announced transactions on or before our original target dates and in any event, before we opened our major retransmission negotiation cycle. That leads to my second topic, our just completed retransmission cycle. We had approximately 250 separate retransmission consent agreements expiring in December 31st, 2014, representing 5 million big four affiliate subscribers out of a total of approximately 9.6 million big four affiliate subscribers. On our earnings call in early November, I said we expect the good faith efforts on both sides of these negotiations will result in fluid and timely renewals of all retrans contracts this year, and I’m pleased to report that we achieved that goal. In particular, we began and concluded all retrans negotiations between October 2014 and the first few weeks of January 2015. We do not have any open negotiations at this time and we do not have any material retrans agreements expiring until the end of this year. Importantly, the newly negotiated retrains agreements confirm that the high quality of Gray’s station portfolio confers ample scale to secure fair compensation for the value that our very strong local stations provide to our MVPD partners. Specifically, we project that our retransmission revenue will increase from $85 million in 2014 to between $145 million and $148 million in 2015 on an as-reported basis. That works out to a year over year increase of between approximately 94% and 98%. We’re very pleased with those results, Like our retrans agreements, we believe that our network affiliation agreements reflect relatively favorable terms for us due to the very strong portfolio of local network affiliate stations that Gray owns and operates. By renewing and extending nearly all of our big four network affiliation agreements in 2014, we now have a measurable visibility into our network affiliation expense for the next few years. This time we project that our very successful retrans renewal renegotiations and our favorable network affiliation renewals, will result in a network affiliation expense that approximates 50% of our retransmission revenue in 2015, 2016 and 2017. With regards to networks, I’m also able to provide a good update on our mobile efforts. This morning NBC and Gray issued a joint press release announcing that we have entered into an agreement that will expand NBCUniversal's TV Everywhere offering of local NBC linear streams beyond the NBC-owned stations to affiliated stations for the first time. This new agreement enables us to include the live linear streams of our 24 NBC affiliated television stations, including NBC network and local programming, as part of NBC's TV Everywhere mobile and online platforms. We have also obtained TV Everywhere rights on the FOX network. And while we have relatively few FOX affiliates and they’re generally located in our smallest markets, we are working to launch those FOX station’s channels in our TV Everywhere platform in the near future. Separately, we are optimistic that CBS and the affiliates will soon conclude an agreement that allows us to launch our CBS affiliated stations in that network over the top product CBS All Access. Unlike a TV Everywhere platform, CBS All Access targets broadband only customers. We agree with CBS that broadcasters need to do a better job of bringing those consumers into the broadcast television ecosystem. For that reason, we are already readying our CBS affiliates to launch an All Access product fairly soon after the agreement is finalized. Finally, another topic of great interest to us, the industry and you is the upcoming FCC incentive option for broadcast spectrum. Like everyone else in the TV industry, we have studied the two reports from Greenhill that the FCC released in recent months that estimates spectrum values and those in many cases are surprisingly high. We’ve also studied the FCC’s repacking analysis in some depth and those indicate that the FCC has little need to clear one or more TV stations in many of the Gray markets. We do not rule out participation in a spectrum auction where participating would make economic sense. Nevertheless, we do not foresee many, if any actual opportunities for Grey to surrender some or all of the station spectrums for a price that exceeds the station’s value as an operating entity. Rather, the opportunities that may be presented to Gray by the spectrum option will be business opportunities to acquire programming, revenue streams and talent from competitors who do choose to exit the business via the auction. For that reason, we are eager for the FCC to commence and conclude the spectrum auction because we are as always working to grow Gray Television’s vertical scale within our local markets. This concludes my remarks today. I’ll turn the call now to Jim Ryan, our CFO.
Jim Ryan: Thanks, Kevin and Hilton. Good morning everyone. First of all I want to let everybody know that we expect that we’ll be filing our 10-K later today. So it should be available later this afternoon. We’ve also filed an 8-K this morning with the press release in it, but as important that 8-K that we filed this morning also contains an updated investor presentation with our 2014 results. That investor presentation will also be available on our website as well at www.gray.tv. I’m going to keep my comments relatively brief and as far as the P&L goes, I’m going to focus it on the combined historical information because I think that’s giving the best view of the company on a go-forward basis. Again, the combined historical just takes our as-reported results and also the historical results of the stations we acquired during the relevant period before we had acquired them. For the fourth quarter again, we were very pleased with our revenue growth. It was a little bit more than we had expected. As we talked about on our Q3 call, because of the massive amount of political $48.5 million in the quarter on a combined historical basis, we did expect our local and national revenues to be down slightly and they were. Local was only down 1% which is actually better than we had thought and national was only down 2%, again better than we thought. We did see -- we’ve seen a crowding out effect year cycle after cycle with political advertising. But we were very encouraged that once the elections were over, the local and national numbers for later November and December certainly came back up very strongly. So we’re very pleased with the core revenue profile within fourth quarter. Our operating expenses for the quarter were up, but really a lot of that was driven by a couple of big-ticket items. Certainly the increasing reverse comp to the networks, especially with ABC, FOX in 2014, as well as national sales rep commission. Political revenue also drove up the expenses a little bit in Q4. Looking on a full year basis, again on a combined historical we were pleased to see that local was in positive territory as we expected. We had strong growth year over year of about 21% with a record political in a non-presidential year of $85.5 million. We think that record in a non-presidential year speaks very well for 2016. Please keep in mind that in 2012 on a combined historical basis, we did $118 million and we would certainly think 2016 will be above the 2012 number. On an expense basis again, if we filter for the increased reverse comp especially their ABC payment started in 2014 as we’ve talked about many times over the last several calls. Our non-cash charge for our change in paid time off and the national sales reps commission on the political really, if you peel back to one time only, your odd things for the year because the political cycle are what I would call our core revenue on a combined --- our core expense on a combined historical basis really only grew about 1.8% and we’re very happy about that. We’ve been working hard on the expense side. Focusing on the balance sheet for a moment, at the end of the year our leverage ratio as defined in our senior credit agreement was at 6x. That was down from Q3 as we expected. As Hilton already mentioned, we paid down $70 million of debt in Q4. Total debt outstanding at the end of the quarter was $1.23 billion and that was $556 million of our senior credit facility and $675 million of our senior notes. On a trailing eight quarter basis as defined in the credit facility, our operating cash flow was $203.4 million, again with a leverage ratio of 6x. Our CapEx for the year was $32 million. Obviously political years as you’ve seen before we tend to go a little heavier. My expectation going into 2015 currently is that our CapEx run rate would scale down to somewhere between $20 million and $25 million with 2015 being a non-political year. Combined historical programing payments for the year was $19.9 million. The combined historical programing amortization was $17.7 million. As we’ve talked about already, our re transmission revenue for the quarter and the year was very strong and we’ve set forth our expectations for not only 2015 but, 2016 and 2017. In the earnings release you can see that with having renegotiated to 5 million subs at the end of this year, we have 900,000 more subs up at the end of this year, the end of 2015. Another 3.6 million subs at the end of 2016 going into 2017 so making some modest assumptions for where we think the pricing will be in 2016 going into 2017. Again from the release you can see that we’re expecting very strong growth in gross retrans revenue over the next three years. Page 14 of our investor presentation that we have filed and posted has those numbers set out. What it says is that again our net retrans is going to grow significantly, not only in 2015 at about $78 million, but consistent strong sequential growth in 2016 and 2017 as well and we’re delighted about that. Very briefly on first quarter guidance. I want to remind everybody that the revenue expectations for local and national in the first quarter, you need to keep in mind that we’re going against more than $3.8 million of Olympic revenue from last year that just doesn’t exist this year and that $3.8 million was as-reported number. Obviously a full combined historical number would be a little bit higher. So our first quarter actually based on our guidance is really where we expect it to be in first quarter and we would expect that the core revenue will -- core local and national will grow at a little bit faster rate as we move through the remaining three quarters of the year, with probably the fastest year over year growth as you could imagine and would expect would be in Q4 when we’re obviously refilling the political displacement with core local and national later in the year. With that, I’ll conclude my remarks and turn it back to you, Hilton.
Hilton Howell: Thank you very much, Jim. Operator, we’ll now open up for any questions.
Operator: [Operator Instructions] We’ll go first to Aaron Watts of Deutsche Bank.
Aaron Watts: Morning guys. Let me start by thanking you for the disclosure. It really is best in class and very helpful. Just a couple of questions for me. I guess on the ad environment, it seems like you had a little bit of a step up in local is what you’re seeing in the first quarter versus the fourth. I guess with the recent job reports and cheap gas putting more cash in people’s pockets, what’s feeling better as you look at 1Q and 2Q and maybe what’s lagging at this point?
Hilton Howell: You want to take that, Jim?
Jim Ryan: The auto seems to be going well for us right now. I think again filtering a little bit for the political displacement which clouds Q4. I think a lot of what we have seen late last year with auto and medical and -- bear with me, Aaron. I’m trying to get the right cheat sheet. The restaurant category was up. I think that is probably reflective of the cheaper gas and people having a little bit more money in their pockets. So I think in general what we’re seeing so far, Q1 and Q2 is just, in general no big red flags and things are kind of going along. I’d say the word okay and I mean that in a positive way, not hyper increases or hyper hot, but very solid. And it just came up at general managers meeting a week ago and really the tone from the managers was very positive. And again people were expecting and saying that so far things were looking pretty good as the year got started.
Aaron Watts: Okay, that’s helpful. On the TV Everywhere agreement, I apologize if I missed this, but was this kind of wrapped into your affiliate agreement with NBC or was there -- is there some sort of compensation or upside for you in participating in that?
Jim Ryan: Kevin, you want to take that?
Kevin Latek: The NBC TV Everywhere agreement is, frankly it’s a technical document as to how we’re going to interact, how we’ll deliver our signal and how our signal will appear on their apps. There is not -- the upside to us is reaching our consumers in different ways and being part of what we think is a new move to mobile simulcast. I can't comment on the terms specifically but the upside for us is getting our signals in front of more folks and transitioning in some ways to a more mobile environment.
Aaron Watts: Okay, got it. The last one for me, just housekeeping for Jim. I will probably see this when you file the K, but did you pay down around $70 million of debt in the quarter and does that remain a priority for you of cash generation as you move through 2015? Thanks.
Jim Ryan: Yes, we did pay down approximately $70 million during the quarter. Obviously we will generate a lot of free cash in 2015 and a whole lot more free cash in 2016. You can see that from the metrics, the free cash flow metrics on page 2 of the release. Certainly our general expectations for 2015 would be probably a little bit higher than 20134 and 2016 is going to be a better year than 2012. So everybody can decide what those years look like for themselves, but certainly we think the next, 2015 and 2016 are strong. So a lot of free cash flow generation. I think as we’ve talked before and Hilton may or Kevin may want to weigh in a little bit on this, but certainly in the right circumstances we are still willing to be and wanting to be and desiring to be acquisitive. As we’ve talked about, we’re going to be mindful of our leverage in doing that. We also want strong, market leading stations that are not necessarily available on any given day. Those of you that have followed the company for a long time know that for that type of station, sometimes those conversations go on for -- quiet conversations can go on literally for years before a seller gest serious. So it’s difficult to predict the exact timing. But certainly reducing debt and using free cash to help manage our leverage is a very high priority. And then obviously as acquisition opportunities present themselves where it makes sense and where it fits our profile, I’m certain we’ll probably take --- we’ll take a hard look and be very thoughtful about what we can do when we can do it and what it means to our leverage going forward.
Aaron Watts: Thank you very much.
Operator: We’ll go next to Jim Goss of Barrington Research.
Jim Goss: A little bit more on the advertising climate. You mentioned local down 1%, national down 2%, better than expected. Although I think the local progress seemed, was especially good, though you also mentioned in the context of your press release the crowding out effect on automotive, medical, communications, furniture and appliances in particular. I’m just wondering if you might put a little more color around how much of that you think you get back or are there reasons certain categories seem to be displaced more than others? It might be useful just in looking at the potential progress this year.
Jim Ryan: Yeah. I think first of all auto gets displaced because the auto advertisers love the newscast just like the politicians do. I think the displacements you’re seeing in like communications and furniture and appliances tends to be more of a pricing thing where we go to displace somebody obviously we’re looking for the lowest rates to take out and try to maintain as much of the higher placed rates as we can, where the difference with the auto guys is that they tend, since they have seen the cycles so much and are very aware of it, they tend to be more on the sidelines and other categories will tend to place and take their chances on preempts. We’ve seen that cycle every strong political season and we think again that we’re off -- the year has started to our expectations. We’ve got a lot of Olympics to go against in Q1 and the numbers we’re seeing so far for Q2 and certainly our expectations for the rest of the year as I said, we would expect core local and national to be growing at a higher rate as we move through the year.
Jim Goss: Jim, is the automotive, the local automotive more or of a national spot variety? And does national spot get booked as a national ad or a local ad?
Jim Ryan: National spot auto would get booked as national. Local gets booked as local.
Jim Goss: Okay. So those are the local dealers. Go ahead.
Hilton Howell: Let me just mention one thing. Jim mentioned it in his comments earlier. We just completed a little, about two weeks ago our general managers meeting. A lot of advertising in my judgment is animal spirits just about how they feel about the economy, how they feel about the future. Almost to a man and woman in that group, there was a feeling of great optimism about the core business and great optimism about first quarter, second quarter and 2015, huge optimism about 2016. And so we can look at pacings and Jim is very assiduous with his numbers and his guidance, but I feel very comfortable with the spirit that people feel in the local markets. And so I’ve got a lot of confidence about this year.
Jim Goss: Okay, great. Just a couple of other quick things. The unwinding of the shared services agreements, didn't really affect that many situations, is that correct and 0is there any impact from those?
Hilton Howell: That’s correct.
Jim Ryan: No. there was a handful of situations and economically it had no impact on us. Matter of fact in the big picture we’re ever so slightly better of having been able to unwind those the way we did.
Jim Goss: Okay. And with the 6 times leverage, is that about at what you think is a decent targeted level or are you trying to push that lower as well?
Jim Ryan: We certainly would like to see the leverage come down. I think as we think through the rest of this year, that acts in some really large transaction which I have no idea, I have no ability to predict whatsoever. But you could see leverage down well into the middle fives I would think. If you’re devoting all your free cash to debt reduction, you get another very large reduction in leverage as we get to the end of 2016 and 100 [indiscernible] and 20 plus million, pick the number. It’s going to be a big number of political rolls in. as we talked about in our Q3 call when our leverage was more like 625, 630, we said it was towards the higher end of our range, but we didn’t think it was unmanageable. It’s 6x times heading down well into the fives and lower than that over the next, between now and the end of 2016, we’re comfortable with the glide slope we’re on.
Jim Goss: Thanks very much.
Operator: We’ll go next to Lance Vitanza of CRT Capital.
Brad Tesoriero: Thanks for taking the questions. It’s actually Brad in for Lance. Just on the spectrum auction, I know you guys mentioned earlier that you are likely not going to be a meaningful participant. We are wondering if you can give us any more color sort of on the reasoning why not? Is it just a question of valuation? Is it valuation and technical issues, if you were trying to broadcast with less spectrum? Just any other color you guys could provide on that would be very helpful.
Kevin Latek: This is Kevin. I’ll take that. The first answer is that most of our markets are not markets where there’s a great need for spectrum. So while the Greenhill report may suggest that there are bids of $2 million or $5 million or $20 million for a station in the market, when you go back and look at the FCC’s repacking analysis, which is where they ran 100 different scenarios of how to repack the broadcast spectrum, you find that zero out of 100 or maybe 1 out of 100 times they actually need a TV station in many of our markets. So the numbers are really hard to tie with the fact that the FCC just doesn’t need a lot of stations in Casper, any stations in Casper, Wyoming for example. So that’s one. Secondly, if the numbers are there to clear one station in the market, there are weaker competitors in every market that we’re in. so the number that it would take for us to justify leaving is going to be much higher than one that would take for somebody else in the market for leave. So for example if the opening bid is $100 million for a TV station in one of our markets, we might be interested in saying okay, we’ll consider putting -- we’ll put our station in for $100 million, but five other broadcasters put a bid in for $100 million. So the next bid might be $50 million. That’s no longer interesting to us and maybe one or two other broadcasters. So we don’t participate. A couple of others do and so then the bid goes down to $20 million, clearly not a number we would take, but maybe somebody, one or two people in our market do. And the bid goes down to $5 million and a weak station that’s off the air goes, hey that’s a number I can take. $5 million is just not a value that we would find attractive for that station. So the fact that it’s reverse auction and the fact that our markets are not typically the large markets and close to borders and the fact that we in almost every market are running the number one or number two TV station means that we have a higher going concern value on the stations than other people. So it’s really a combination of those factors. Again the spectrum is a net positive for us. We think there will be people who will leave in our markets. Either during the auction or after the auction they’ve realized they didn’t find much value in the auction and that will create opportunities for us to pick up as I said programing revenue streams, talent from stations that do go away. So it’s a good opportunity for us and we’re eager for it to come, to get started and get concluded.
Brad Tesoriero: Thanks, guys. I appreciate the color.
Operator: We’ll go next to Barry Lucas of Gabelli & Company.
Barry Lucas: Thanks and good morning. Two areas if we could, Hilton. Maybe come back to the M&A issue and certainly understand the parameters that Gray has worked under over the years. But could you talk a little bit about what you think the pipeline looks like and whether or not potential sellers are waiting for more clarity in the way that Kevin just described so that the auction is keeping properties you might like to have off the market.
Hilton Howell: Barry, I will say we don’t have anything to announce today, but we have been in active negotiation with a number of sellers. We hope that we’ll be able to bring something to fruition relatively soon. I have no doubt that to some degree, the uncertainty not just the reverse compensation but of the whole retrains negotiation, coupled with the auction, it adds a lot of lack of clarity into the M&A process. That being said, I don’t think that it in any way inhibits it. There’s some things that need to become more clear, but in the markets that we focus on, we don’t see it as an obstacle. The main issue that you will see us and we continue to reiterate this is we are looking for stations, whether they’re a group of stations or individual stations in markets that are truly culturally news institutions and or ways that we can add news distribution and entertainment and full broadcast spectrum in a vertical market that we’re already airing. And so we are fully engaged in the M&A process and we think we’ll have something to you soon. Kevin, you can add.
Kevin Latek: Just in terms of color, this past fall I think it was pretty safe to say that there were not a lot of conversations about transactions because of the uncertainty surrounding networks, surrounding retrans. Obviously political was keeping a lot of folks interested in retaining ownership of the stations. We’ve gotten past all of those. I think most broadcasters have a pretty good sense at this point of what the retrans, their network, their core, their political prospects are going forward. Some folks are reevaluating their future in light of those. The folks who are most interested in participating in the auction are probably not people who have assets that Gray would be interested in acquiring. Rather I think the more typical Gray seller is somebody who runs a great station and views Gray as somebody who could take a station to the next level by bringing in some additional economies of scale. The Washington bureau for example is something that Gray can afford to do, but probably not a single station in a small market on its own. So we think that there are sellers out there that are attracted to the kind of company that Gray runs and if they’re the right kind of station that’s something that we would want to talk to. So the overall color would be there’s really nothing happening in the fall and I think we finish the year and finish political, finis the retrans cycle, a lot of folks are giving a longer, are giving some thought to the longer term future.
Barry Lucas: Thanks for that. If we could stay on the -- yes, I am sorry?
Hilton Howell: Just one thing I want to mention. Jim went through all the different things that we’re going to be posting today. There’s one additional thing. I’m sorry that I’m in it, but by the end of the day today we will have our corporate video that was put together for our TV station group and our general managers meeting and it gives a lot of examples of what that DC bureau is doing. I think you will find it to be pretty compelling. And so once it is posted under the About Us section of our website, I encourage you to take a look at it.
Barry Lucas: Thanks. I'll look forward to that, Hilton. If we just continue on this sort of capital allocation theme and bearing in mind the M&A comments as well as Jim's comments on leverage, at what point do you think it would be appropriate to consider returning cash to shareholders?
Hilton Howell: I guess I will start with that. That is something that we weigh every day. In the immediate future I think that allocating our assets to continuing to grow the scope and scale of Gray is in the best interest of our shareholders. But in time as we continue to increase the amount of free cash flow that this company generates, which I’m very proud of our track record over the last couple of years in doing that, then we weigh and our board weighs really every day and every quarter, issues about returning to paying dividends and to stock repurchase programs. I know that a lot of our peers have those in place and we’re very conscious about that. But right now we actually really do have some opportunities and we need to take those while they’re available. And so we’ll just have to weigh that and see what happens, but I hope to be able to do that in the shorter term versus in the longer term.
Barry Lucas: Great. Last area for me, coming back to the spectrum issue and your description of let's say less necessity to clear that spectrum for the FCC. Again some of your peers have been a little bit more aggressive in talking about ATSC 3.0 and utilizing that spectrum internally for data distribution or what have you. Would those comments that you’ve made tend to suggest that the opportunity to utilize the spectrum internally is maybe less in the Gray markets than it is for some others with larger market stations?
Hilton Howell: Let me start with that. I think actually if you look at Gray, I think that we’re a -- we use our spectrum in a remarkably efficient way. We have effective duopolies. They’re using spectrum in many, many of our markets. And so I think that we use and that we are monetizing our spectrum as we speak. It is not to say that all of our markets have no spectrum value. We have many, many markets that are very close to very densely populated markets that bleed over value of the spectrum will be there and so we’ll look at it. As Kevin mentioned, our stations are institutions in their markets. And so it would take a truly remarkable price for Gray to be very interested. Now I’ll say with regard to the new broadcasting standard, we have mentioned this in the past and Kevin you may want to elaborate on that, but obviously David Smith has been pushing that and I think he’s spot on. Gray has filed legal briefs in support of that shift and we have taken a public stance in every industry meeting, whether it be the NAV or the Small Market Television Exchange in favor of that shift. And so while we may not talk about it every day, we are clearly behind that transition.
Barry Lucas: Great. Thanks very much for that, Hilton.
Operator: We’ll go next to David Hebert of Wells Fargo Securities.
David Hebert: Good morning, everyone. Thanks for taking the questions. Jim, around your leverage comments, just curious, your bonds become callable later this year and if you were to decide to call those either this year or next year, would that be a purely economic decision or are you focused on perhaps a little more covenant flexibility now that you are a larger sized company? Just curious how you are thinking about those bonds?
Jim Ryan: I think one, we’re in a very good positon in that we, because of the structure we have and all the long term maturities, we’ve got the best of both worlds. We don’t really need to do anything. In a current structure, I think with the call date coming up, certainly there is very strong economic factor there and that will depend on the math as that gets closer. I would certainly think if we -- I’ve seen some other issuances of bonds latter part of last year. I think the market right now is certainly taking more covenant friendly packages from strong broadcasters with excellent cash flow characteristics like us. Certainly if we went to do anything in the future, I would certainly be looking to improve the covenant package as much as possible. But I think first and foremost would probably be just the economics of it and does it make sense or not. Now certainly if, and again I’m not predicting anything at all, but if over the course of the next year or so we have an opportunity to acquire one or more stations in slightly larger transactions, certainly again that might come into play as to how we would view the bonds and call rights and how we would want to restructure the debt structure on a go-forward basis. But the simple answer is we’ll have to wait and see what the math says a little later this year and see what makes sense.
David Hebert: Okay, that is helpful. And on the NBC deal, just curious your thoughts around measurements, where we are today and how far the gap of where we need to be on the measurement front from your standpoint?
Hilton Howell: I’ll just mention briefly. I made the comments in my opening remarks about the study that was done by SmithGeiger for us. We knew we were good. We didn’t realize we were as good as they were able to actually prove with regards to our websites. I am personally extremely excited about Gray’s participation with NBC and TV Everywhere because it is clear that our stations in particular have to be the dominant player on every screen in every market we’re in. and so the broadcasting industry has to be out there and we are. We’ve got apps out in every one of our markets that are market leading and we were one of the very first pioneers in that regard. But it is very important to clear actual, the ability to see television live in every screen and we are excited about that stuff. Kevin, do you have anything you want to add to that?
Kevin Latek: No. I think you’ve got that covered well.
David Hebert: Okay. And then last one for me, Kevin, maybe you can shed some light on this. On the spectrum auction, the wireless carriers, two of them at least, are perhaps looking to push this thing back into late 2016, at least that’s what we are hearing. Do you think there’s any reason we can expect a delay from the broadcaster side? Just curious your thoughts on that.
Kevin Latek: The decision to delay is obviously the FCC’s decision, not broadcasters or carriers. There’s still an important legal challenge and there’s still a number of FCC rule makings that have to be completed, some of which were on target to be done last summer and we’re still waiting for them. So I think it is an administrative push to get the auction started early 2016. There’s just a lot of pieces have to fall into place. I don’t think it’s impossible, but given how quickly Washington typically works, it might be safer to assume that it might be a little bit beyond early 2016 before it can get started. I’ve not heard any definitive decision or leaning of the FCC about delaying it, but the factors may suggest a slight delay.
David Hebert: Okay, fair enough. Thank you very much.
Operator: We’ll go next to John Hall of Wells Fargo Securities.
John Hall: Hey guys, great quarter and really loving all the color you guys give by the way. I just have a few questions I wanted to ask here. When you guys talk about your 9.6 million of big four subs, does that include your digital subs as well?
Jim Ryan: Yes it does. That 9.6 million is the total number of big four subs we are paid on. So if we have a CBS and a FOX or an NBC and an ABC or whatever the combination is, if we’re getting paid -- we do get paid for both and that’s how we come up with the 9.6.
John Hall: Okay, perfect. Now based on the number, if I try to back into the actual retrans rate you guys are getting paid based on your guidance, it actually looks like you are doing much better on a rate basis that some of the other larger broadcasters who renewed contracts at year end 2014. Can you maybe hone into what you think is driving that strength there?
Jim Ryan: I’ll start and I think Kevin can probably add a lot more color. But I think first and foremost, it’s the depth within the markets that we have that allowed us to have some very serious conversations with even the biggest MVPDs. It’s one thing to go to an MVPD and say hey, I’ve got 40 markets up and it’s a mixture of some really good stations and some not so really good stations. But we were in a position to be able to go to the MVPDs and say I’ve got 20 markets up and by the way 18 of them are market leading number one news stations. Now I’m obviously using it as an example. Don’t hold me o the exact numbers, but the basic point is that it gets the MVPDs attention because they understand they really don’t want that problem in those markets if we can’t come to some reasonable conclusion as to what the rate ought to be. I think that helps us. I think having using our spectrum very efficiently and having as many dual big fours as we do also helps us a lot. Then we go for the best rate we can. Kevin, you’re in the thick of that so you may have some other comments.
Kevin Latek: Jim is spot on. Everybody says their children are above average. I think Ray alone is able to demonstrate that almost all of our children actually are by using Rentrak, Nielsen or any other measure people want to look at. I’ve not done an average rough calculation for us versus anybody else or even just for us. But the characterization that our rates may be a bit higher than you would expect or that others may have expected would at least be consistent with the comments we heard consistently from the MVPDs about our rates being in new territory for them, which is perfectly fine with us because again we’re bringing to the table a portfolio of stations and value that they’re not getting from others, whether they’re cable networks or broadcasters. So we’re obviously very pleased with the way it worked out. We have said on calls since I began here three years ago, Gray does not think that scale for us means we need to be in 30% or 40% of the US and we probably never will be in 30% to 40% of the US, but we do think that scale for us means vertical depth and that’s the way we will succeed. I think this retrans cycle and our recent network affiliation cycle has proven that the strategy is working.
John Hall: Okay, perfect. And then back to spectrum for a moment. Kevin, you mentioned the business opportunities of potentially picking up programming revenue streams. Correct me if I am wrong, but I think you are actually using most of the bandwidth on your current license via D2s. So is it really just a matter of swapping a non-big four for a big four given that it wouldn't be a license transfer and wouldn't trigger ownership rules? Maybe can you detail for us exactly what those affiliation opportunities are going to look like?
Kevin Latek: You’re right. We’ve been pretty aggressive about using our spectrum to put on a second big four where available or something, CW, MeTV, other products that we think will do well in the marketplace that obviously have a very positive ROI. So in some cases we are sort of bandwidth constrained and something would have to go and those are very difficult decisions and very difficult conversations to have, but economically you can’t turn away an opportunity. This is not spectrum related, but recent -- last year, we launched an ABC in Laredo, Texas where we had an NBC station and on the digital channels that had a Telemundo and a CW. And unfortunately we looked at the landscape and had to have a difficult evaluation of our opportunities and we decided that NBC, ABC Telemundo was a better combination that ABC, Telemundo and CW. And so we negotiated to end the CW affiliation early and added ABC. And so we will confront that opportunity, that challenge in a couple of other markets if these opportunities arise. There may also be opportunities in some markets to pick up the low power TV stations or perhaps even some smaller satellite stations that are not being used properly or efficiently and use those as homes for some of the programing. So we may have to acquire some weaker signals in the market that will survive the auction for the spectrum space. In other cases we may need to have these difficult conversations that you mentioned.
John Hall: Okay. Last one for me, Jim, it will probably be in the K later today, but can you remind us what your NOL balance is as of yearend 2014? Thanks.
Jim Ryan: Our NOL balance at the end of 2014 was approximately $160 million.
John Hall: Perfect. Thank you. [Operator Instructions] We’ll go next to Mike Johnson of RBC Capital Markets.
Mike Johnson: Hey guys, thanks for taking the question. Just a quick one on the TV Everywhere. Should we be expecting some incremental costs coming in here as you guys package these streams for the new OTT products? Maybe not just the NBC but as you look to do the deals with the other networks?
Kevin Latek: This is Kevin. At this point our projections are that there’s an immaterial additional cost and we are hopeful there’s a little immaterial additional revenue. So overall we think that this TV Everywhere plan will be generally revenue neutral for us in the near term and obviously we consider this an investment where the payoff is not for maybe the two year timeframe, but a little further down the road.
Mike Johnson: Great. Thanks. That is all I had.
Operator: There are no further questions at this time.
Hilton Howell: Operator, thank you for that. I just want to take just a brief moment to thank everyone on this call for your attention and for joining us this morning. We really are excited about the opportunities and we love this business and I hope that shows. . Thank you for being here and we’ll talk to you next quarter.
Operator: Thank you for your participation. That does conclude today’s conference.